Operator: Good morning. My name is Vitania, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the IDEX Corporation Q3 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to today’s host Mr. Michael Yates, Chief Accounting Officer. Sir, you may begin your conference.
Michael J. Yates: Thank you, Vitania. Good morning, everyone. And thank you for joining us for our discussion of the IDEX third quarter 2011 financial highlights. Last night we issued a press release outlining our company’s financial and operating performance for the three-month period ended September 30, 2011. The press release along with the presentation slides to be used during today’s webcast can be accessed on our company’s website at www.idexcorp.com. Joining me today from IDEX management are Larry Kingsley, our Chairman; Andy Silvernail, our CEO; and Heath Mitts, Vice President and Chief Financial Officer. The format for our call is as follows, we will begin with our longer term view of the business as we approach the end of 2011 and have recently completely our three year strategic planning process. We will then discuss our third quarter company results and our four business segments. And finally, we will wrap up with an update to our 2011 guidance. Following our prepared remarks, we will then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately two hours after the call concludes by dialing the toll free number 855-859-2056 and entering conference ID number 66069195 or simply log on to our company homepage for the webcast replay. As we begin, a brief reminder, this call may contain certain forward-looking statements that are subject to the Safe Harbor language in today’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that, I’ll now turn this call over to our Chairman, Larry Kingsley. Larry?
Lawrence D. Kingsley: Thanks, Mike. I’m very pleased to introduce Andy Silvernail as IDEX’s new CEO. On August 8, we announced that Andy would succeed me as Chief Executive Officer, and I will remain on as Chairman of the Board for the reminder of the year as long as necessary to transition all responsibilities. Andy joined IDEX in January of 2009, and most recently held the position of Vice President and Group Executive, leading three of the company's business segments: Health & Science Technologies, Fire & Safety and Dispensing, comprising more than half the company's annual revenue. He significantly increased revenue and earnings and expanded operating margins through stringent cost control and improved efficiency all while driving substantial international growth. My plan to leave IDEX would not be possible if the Board and I were not extremely in Andy’s leadership. I know we found the best leader to align the company and execute the initiatives we develop together over the last three years to ensure we went today and invest for tomorrow. Over the past several years, we built a world-class team and this will ensure continuity. Andy is surrounded with excellent talent to drive continued growth and operational improvement. Now, let me hand it over to Andy. Andy?
Andrew K. Silvernail: Thank you, Larry. Before moving on to the results, I want to take this opportunity to thank Larry for his leadership during the past seven years. Larry has achieved an impressive list of accomplishments while at IDEX. I’m honored to succeed him as CEO and have the opportunity, along with our great team, to lead the company into the future. I appreciate the support Larry has provided me over the last three years. He’s been a terrific leader and an outstanding mentor. I hope you’ll all join me in wishing him success both personally and professionally. With that, I’d also like to quickly address my top priorities as CEO. First and foremost, I want to reiterate that our strategy has been and will continue to be focused on our global growth platforms and executing with a disciplined operating model. Specifically, we will continue to focus on our company-wide priorities. First, we’ll improve our growth profile through organic investments and acquisitions. Second, we’ll build a great global team and develop our people to support our continued growth. Third, we’ll advance our operational and commercial excellence initiatives, which have been the foundation of our success. Through execution on these priorities, we’ll be more flexible, innovative and responsive in filling customers’ needs. Ultimately, these make IDEX stronger and even more competitive. As Mike laid out our comment on our longer-term prospects and our view of the economic environment, we’ll present detailed guidance for 2012 in our fourth quarter earnings call. But today, I’ll share my perspective on the performance on our end markets and our longer-term outlook. We’ve just completed our three-year strategic planning process, and after reviewing the individual business units plans over the past couple of months, we remain bullish as we look 2012 and beyond. First, let me say, despite the headlines of volatility in the global financial markets, we expect to achieve solid organic growth in 2012. The majority of our end markets are continuing to grow. The investments that we’ve made in the emerging markets are paying off as we continue to get traction with our products and technologies in China, India, the Middle East and Latin America. Our strategic intentions have not changed. We will expand our current business with a focus on high-growth emerging regions and high-growth end-markets. To be clear, we’ve not slowed our investments in areas where we are bullish about the long term. On the M&A front, we have a very robust deal pipeline. We remain active through 2012. Our focus will continue to be on strategic platforms in SMT and HST. Turning to the next slide, I’ll walk you through the assessment of our served markets. We believe all of these markets are positive over our three year strategic planning cycle; including the currently softened municipal markets. In the third quarter, we experienced 8% organic order growth. Additionally, orders grew sequentially throughout the quarter and compared to prior year. This provides confidence that order rates are holding up despite the persistent headwinds driven by the volatility in the global market place. Specifically, Chemical and Industrial markets remain strong. Launch projects are underway in China and we have a solid position producing and selling locally throughout the emerging market. Our MRO business is very strong globally, and we are expanding our presence in the after-market space, which will bolster our solid recurring business. Energy has been and will continue to be strong for us worldwide, particularly in mid-and-down stream and we continue to see strength in both MRO and project-related activity. We expect demand for sanitary products to grow as new regulatory requirements increase. We’ve already begun to see a shift in demand for hydraulic products. We are also anticipating developing economies to increase their investments in Food, Beverage and Dairy to meet their shifting needs. In the Agriculture space, we are experiencing very strong OEM and after-market demand, as pharmas [race] to support population growth to increase usable acreage and improving crop fields. Our Health and Science end-markets are experiencing some softening. Concerns about research funding appear to be causing a pause, is a customer disaster situation. We remain very well positioned for that products and technologies. In longer term, we see this getting back to high single digit or low double digit organic growth. Our Municipal end-markets face some challenges, particularly with respect to water, wastewater and fire. For our water business, we believe long-term prospects are promising as investment in the aging U.S. and European infrastructure will require significant capital expenditures. Industrial water applications are supporting the remainder of our water business. We don’t see any slowing in this space. Furthermore, emerging markets have significant growth opportunities both in the year and long-term. Equally important as the market dynamics is our track record of outpacing our served markets as we innovate and properly deliver the highest quality solutions. Overall, we maintain a positive outlook. In our view growth in 2012 will moderate, but stay positive in North America and Europe and growth in the emerging markets will far outpace the developed world. While overall view doesn’t anticipate a global recession, we will be prepared for whatever scenario plays out. Our team can quickly and appropriately reduce our cost structure and preserve margins without slowing R&D spend. We proven our ability to execute this model in the past and we will do so again if necessary. In select areas, we have already begun to see some restructuring actions. Through the second half of 2011, we reduce our cost structure in slower markets in order to deploy capital on high-growth, high-value platforms and regions. Through our ongoing intensified efforts, we will drive cost and efficiency as a result of our operational excellence and strategic sourcing initiatives. Now, let me turn to our third quarter earnings, we had an outstanding quarter. Orders are on track to our plan and we built backlog. The general underlying demand appears to be healthy. However, as Larry and Heath have discussed in the past, we expect order patterns to remain volatile. This shift in orders away from large blankets to more drop-in has stressed the importance of responsive supply chain. This is an area IDEX has strengthened over the years and we will continue to invest resources to improve our sourcing capabilities. We are very excited about our new optics and photonics platform. We are already beginning to realize the benefits of combining these great companies into one platform. We’ve executed quickly to realize synergies. We are able to deliver a broad spectrum of offerings to our existing customers while strengthening our value propositions to potential customers. Now, turn to slide 7, and I’ll jump into the financial results for the quarter. Orders were up 26%, and as previously noted up 8% organically. And sales were up 28%, up 9% organically. Q3 adjusted operating margins of 18.3% was up 70 basis points from the prior year. As noted in our press release, there were a few moving parts in our Q3 results, and a spear of normal IDEX transparency, I want to quickly walk through these items. First, our reported operating income contained $12.8 million of CVI inventory step-up expense, this would be the last of the CVI inventory step-up expense. Additionally we had $2.9 million of restructuring related charges as part of the cost take-out I mentioned earlier. On the other hand, we benefited from $2.7 million of stock compensation expense reversals as part of the CEO transition. Finally, the acquisitions had a dilutive impact of 80 basis points to our operating margin. This is primarily due to CVI’s ongoing intangible amortization expense. While the acquisition impacts will be diluted to our operating margins in the near-term, our margin improvement initiatives are well underway of CVI, and I feel good about the long-term margin profile. So if you add all this up, and look at the results on an apples-to-apples comparison to prior year, our operating margin improved 130 basis points. Productivity was outstanding, but solid operating leverage on the organic growth. Finally, Q3 results include a year-to-date true up of our expected tax rate, primarily due to tax planning availed by recent acquisitions. This is good news, and a lower rate is sustainable. We now expect the ETR to be 30% in Q4, and through 2012. Free cash flow was $86 million, resulting in a cash conversion of 180% of net income. This was a quarterly record at IDEX. It was terrific performance. I’m proud of our team’s effort in the trenches with their laser focus on cash generation. Okay, I’ll begin the segment walk with Fluid & Metering on slide eight. For the quarter, orders were up 9%, up 6% organically. However, if you exclude our water platform, we were up 16% organically in the rest of FMT. Water had some pretty large orders in Q3 2010 and we remain challenged by the [tough] municipal environment. All of which makes for pretty tough comps year-over-year. Overall, FMT sales increased 19% for the quarter, up 16% on an organic basis. Operating margin of 19.9% was up 160 basis points from the prior year. We are very pleased with FMT’s quarterly and year-to-date results. Within chemical and energy, infrastructure expansion internationally and our focus in the aftermarket will generate double-digit organic growth for the full-year. I am very pleased with the team’s efforts in the aftermarket and we look to share these best practices across the portfolio. We will continue to monitor our water business and the municipal spend in the U.S. Outside the U.S., the water business is strong and we expect growth, as infrastructure investments expands in both the near and long-term. I will reiterate our previous expectations that FMT will deliver double-digit organic growth for the full-year and continue improved P&L performance. Global penetration and local execution are driving these stellar results. Now, on to Health & Science. Orders were up [60%] for the quarter; organic orders up 6%. Sales increased 59%, up 4% on an organic basis. As expected, we had headwind on our operating margin. Adjusted operating margin of 19.2% was down 380 basis points from prior year, as CVI’s lower margins impacted the segment results, minus CVI, the remainder of HST, our margins expand modestly. We expect HST’s margin profile to improve overtime as we execute the CVI integration and profit improvement initiatives. We’ve made great try to integrating CVI into our optics platform and have continued to gain share across the business. We will grow this platform organically and acquisitively, this remains one of our highest priorities of capital deployment. Our pharma platform experienced healthy orders in the quarter, which will convert to sales in the first half of 2012. For HST, we are pointing up our high single digit organic growth for the full year and significant growth from the recent acquisitions. However, we are seeing moderation to growth rates, as we come against different comparisons and current uncertainty in the OEM environment. Full year adjusted operating margins are expected to be north of 20%, as we scale this business and completely integrate our recent acquisitions, our operating margins will continue to expand. I’m now on to dispensing. Orders were up 30% and 23% organically. Sales were down 5%, down 11% organically. Operating margin of 9% is down versus prior year of 10%, which is largely driven by lower volumes. We expect margin expansion in Q4 and beyond due to the structural actions we’ve taken. As we communicated last quarter, a broader market recovery is not expected in the near term. But we anticipate further operating margin improvement through new product introductions and market penetration on an appropriately sized cost structure. Again, the dispensing team continues to execute it very well and we’ve adapted to the reality of the diverse construction market. And finally, Fire & Safety. This segment continues to perform extremely well. Time and time again, we successfully defend our position in the marketplace as a leader, penetrating into new markets and applications and expand internationally. This is the ladder to increase year-over-year orders by 16%, up 13% organically. Sales increased 10%, up 6% on an organic basis. Operating margin of 25% is consistent with the third quarter of last year. We believe there will be further opportunity to expand the reach of our products, which drive strong organic growth in the future. I am now onto slide 12. We expect Q4 EPS to be in the $0.60 to $0.63 range. Q4 organic revenue growth will be 4% to 5%. FX will have a positive year-over-year impact on Q4 sales of approximately 2%. For the full year we now anticipate the organic revenue growth will be in the high single digits. We’ve tightened our EPS guidance to be in the range of $2.51 to $2.54, 26% to 28% higher than 2010. Adjusted operating margin for the company for the full year will be approximately 80% and we expect 30% to 35% flow through on incremental organic revenue. There are few other modeling items. The full year 2011 tax rate is anticipated to be 30%. Full year CapEx will be $36 million to $38 million. And as I said a few moments ago, we have demonstrated the ability to convert cash extremely well. We anticipate similar performance in the fourth quarter or cash generation will be in excess of net income. And again, our earnings projections exclude any future restructuring, future acquisitions or charges associated with acquisitions. And that concludes my prepared comments on an excellent quarter. With that we’ll open up the call to questions. Operator, I’ll turn it over to you.
Operator: (Operator Instructions) And you have a question from the line of Jim Lucas with Janney Capital Markets.
Jim Lucas – Janney Montgomery Scott: Thanks, good morning.
Andrew K. Silvernail: Good morning, Jim.
Jim Lucas – Janney Montgomery Scott: And thanks for building out models for us on that last slide.
Andrew K. Silvernail: No problem.
Jim Lucas – Janney Montgomery Scott: First question, in your prepared remarks, you’ve talked about select restricting that you started, could you give us a little bit of color of where you are starting that and maybe talk about where those potential area of weakness are?
Heath A. Mitts: Hi, Jim, this is Heath. We talked a little bit about that in the last call that we were going to commence some things, generally it's around businesses that we do not anticipate big bounce back in terms of growth next year and these are businesses that we’ve talked about in the past around dispensing and around certain elements within our water business, and these have been announced and been execute as we speak, so there is no big surprise internally here.
Jim Lucas – Janney Montgomery Scott: Okay. And with regards to the CVI integration, could you give us a little update of how that has played out initially and talk about some of the market opportunities that may have surfaced so far?
Andrew K. Silvernail: Sure, Jim. First, the integration is on track. We’ve seen some pretty immediate top line synergies from products and the channels. If you recall when we talked about the acquisition, it is really an excellent fit between CVI, Semrock and ATFilms really across a number of spectrums, the first being the global footprint that CVI has in terms of their sales channels and support structures. The second is technologies. There is really a terrific overlap and our ability to leverage both product and process technologies. And then finally, as we talked about – there are some structural cost opportunities between the businesses. So it's on track to our expectations. Consistent with the rest of HST, there has been some softening, but the business still grows year-over-year and while it's a little bit softer than we expected, we’ll get back in line with our expectations.
Jim Lucas – Janney Montgomery Scott: Okay. And finally, with regards to the commentary, I know that you’re still putting early, early stages of putting 2012 together, but a lot of good commentary about the puts and takes going into the next year. When you think conceptually about next year, I mean as the growth rate is kind of leveled off and moderated here in that mid-single digit range, I mean is 4% to 5% a realistic expectation organically in ’12, or anything that you can in terms of how you can, any carry outs to put with that?
Andrew K. Silvernail: Sure. I think first and foremost, right now the biggest driver here, kind of three things that we’re seeing for drivers and some of the near-term softening. The first one is that Europe has softened; there is certainly no doubt about that. The second and we believe this is a fairly short-term phenomenon, as some of the funding in the life science market, there are concerns and we think that some of the end markets and customer bases have slowed because of that in the near-term. And again, as I said in my prepared remarks, we feel pretty confident that over the long-term, that looks a lot more like we’ve expected in the past, which is high single-digit to low double-digit. So our expectation is that, in 2012 North America will be slower, Europe will be slower, international will still be multiples of those growth rates. So if you assume kind of current state, we think we can do a little bit better than that 4% to 5% in 2012, but a lot it’s going to be driven by the macro environment.
Jim Lucas – Janney Montgomery Scott: Okay. Great. Thank you very much.
Operator: Your next question comes from the line of Robert Barry with UBS.
Robert Barry – UBS: Hi, guys. Good morning.
Andrew K. Silvernail: Good morning, Robert. How are you?
Robert Barry – UBS: Good. Thanks. I was wondering if you could just share a little more color on where you’re seeing the softness in the European business?
Andrew K. Silvernail: Yeah. No problem at all. It’s pretty broad-based. And I think, as we look across the portfolio, you can kind of go straight into the segment, and you’ve seen some softness. So you wouldn’t pick out one thing that’s dramatically different than the rest, but we have seen that certainly in the third quarter, some slowdown.
Robert Barry – UBS: Okay. And then on the muni, I know the muni water has been weak for a little while, is it getting incrementally weaker or is that kind of stable?
Andrew K. Silvernail: No, no, it’s really, it’s stabilized. We’ve talked about in the past, specifically in the fire business where two years ago we saw a tick down, and this year as we expected we saw another tick down. But actually sequentially, we’ve seen that really stabilize. So across-the-board office it impacts fire, and it impacts water and waste water, we see some stability. However, we don’t see a dramatic pick up in growth, and that’s why we’ve been very proactive in taking some of the cost initiatives.
Robert Barry – UBS: Yeah, on the HST side, you flagged about 380 basis points decline in the margin. How much of that 380 is related to the ongoing amortization?
Heath A. Mitts: Robert, this is Heath, there is about in total for HST, we had a headwind on the margin rate of about 450 basis points, which in CVI and the other HST acquisitions, CVI being by far the lion share then. So we would have accreted ex-acquisitions in HST, we would have accreted somewhere in the 70 basis points.
Robert Barry – UBS: Right. I guess, I’m trying to get at, if some of that year-over-year headwind is related to ongoing acquisition related amortization, kind of how should we think about the margins tracking in HST, just aside from the planned restructuring activity?
Andrew K. Silvernail: Sure. As we talked about when we acquired CVI, and we’ve added some more color in our last earnings call. We have, CVI itself brings about $12 million of annual intangible amortization expense that does bring down their margins. So it would be fair to say right, that we’re going to reset the HST operating margin somewhere in the 300 to 350 basis points versus pre-IDEX, pre-acquisition. Obviously, as we grow and take cost out, we’ll lever off of that as some of those purchase price accounting costs are fixed, we’ll lever off of that going forward. Just to be clear, the CVI and for that matter, all of the acquisitions within the segment do have the same attributes as the rest of IDEX as we’ve talked in the past, which is incremental margins or contribution margins of the 30% to 35% range. So as we continue to see growth in those businesses, we will begin to expand margins from that going forward.
Robert Barry – UBS: And then just finally on that, I mean how is that going to play out, I mean if you put it may be in two buckets, kind of over the next 12 months, how much is there to do related to CVI restructuring, like you’ve talked about a plant that could be closed relatively quickly, and how much impact could kind of the next 12 months be, and then kind of longer term?
Andrew K. Silvernail: Well, I don’t want to get too descriptive on the call in terms of our more tactical actions around the integration. Obviously, we have talked some foot print things that we are considering going through, and then there are just some natural synergistic opportunities as Andy mentioned with some of the technologies and channels and so forth as we bring it into our broader optics and photonics platform at IDEX, but and we’ll give some more color about that as we get through the 2012 planning process. But I would expect for modeling purposes that you can expect HST’s margins to be in that 19% range plus or minus here for the next few quarters.
Robert Barry – UBS: Okay. Great, thanks very much and thanks for sharing all the thoughts on the outlook for 2012.
Andrew K. Silvernail: You bet.
Operator: Your next question comes from the line of Scott Graham with Jefferies.
Scott Graham – Jefferies & Co.: Good morning.
Andrew K. Silvernail: Good morning, Scott.
Scott Graham – Jefferies & Co.: Good morning you all. And congratulations, Andy, good to hear you’re back; Larry as well. The question I had about was more of the order rate comment that you’ve made, Andy, about sequentially it seems to be – I thought you said improved, but I may have misheard you. And then kind of comparing the order rates, which were – and I know that there’s only a month and a half of impact of that visibility type of thing. But then the 4% to 5% organic sales number, which isn’t far off from what I was thinking. Nevertheless, the order rate being the same this quarter as it was last quarter with your – combined with your comment, is there something you’re seeing very recently in the healthcare business or somewhere else that’s suggesting there’s a bit of a step down for the fourth quarter?
Andrew K. Silvernail: Hello, Scott, let me kind of tackle these two things. One, I think what I heard you say was talk about the sequential order rate and then address the 4% to 5% and is that kind of consistent with what we’ve experienced in the second quarter and kind of going forward. Is that right, Scott?
Scott Graham – Jefferies & Co.: Pretty much. The order rate growth in the third quarter was the same as the second quarter organically, yet the organic expectation for the following quarter…
Andrew K. Silvernail: Okay.
Scott Graham – Jefferies & Co.: Is lower.
Andrew K. Silvernail: Okay, got it, got it. Let me tackle the sequential order rate. You did hear that right, if you look back over the past six months, month-to-month our sequential order rate has actually improved. And so we are seeing some sequential momentum. That being said, we had more difficult comps and we have more difficult comps as we move forward. As you look at the fourth quarter essentially what we are calling is sequentially a consistent quarter in terms of top line plus or minus. And so that relative to last year what we saw kind of $25 million or $30 million of sequential improvement quarter-to-quarter. In terms of the order rate in the second quarter and how we are looking at that verus the third quarter and forward, some of the orders that we saw here in the third quarter were in our pharma platform, which really don’t hit until 2012. So there is a little bit of a gap in there from kind of the math that you might be walking through.
Scott Graham – Jefferies & Co.: That's fine, that's actually very helpful, you are looking at things sequentially, I was looking at year-over-year. So on a year-on-year basis during the quarter it sounds like things maybe drifted downwards because of the more difficult comps, is that fair?
Andrew K. Silvernail: To some degree, yes, let me, I think it's important to reiterate that even if we're looking that HST or FMT right, we are still seeing a solid order environment and we think we’ll continue to do so. So we are seeing sequential improvement and we are seeing a decent year-over-year, but moderating as we look forward.
Scott Graham – Jefferies & Co.: Understood. The other question I had was maybe more specific to the health care business where I guess in past conference calls I never really got the impression that the NIH funding was a big deal for IDEX. It sounds like you are saying that there is some pause out there taking place among some of your customers, maybe just help me connect those dots if you could?
Andrew K. Silvernail: That’s a good question, Scott. If you kind of step back, and you look at that overall instrumentation space that we’ve talked about in the past, somewhere between 20% and 30% of that business domestically, and probably the same in Europe is impacted by NIH like funding. That being said, that segment of our business is only about a third of the total HSP platform. So if you kind of walk through the math, you can see kind of how it impacts that. However, I think what’s important is that, as some questions about funding have come up, and understand those funding cuts haven’t happened yet, but it’s really a questions about funding. We are hearing our customers become more cautious, and they are waiting for that to clear up, I don’t think anybody wants to get caught in a slower market, and so they’ve been a little bit more cautious. When that clears up, we think that the growth rates will continue, and frankly if you listen to the majority of the players in the space, there is real confidence going forward about continued attractive growth rates.
Scott Graham – Jefferies & Co.: That’s fine. Thank you. My last question is this, I know that you are looking at some additional sort of platform restructuring, that is separate from the company’s long heralded goal of $20 million to $25 million in ongoing productivity cost savings, is that correct?
Heath A. Mitts: Scott, this is Heath. That is correct. The two different activities altogether, once restructuring partly CVI enabled just due to the acquisition as well as the sizing of the dispensing and portions of the water business that I discussed earlier. That is a different activity all together, the ongoing strategic sourcing and OpEx savings that we drive daily.
Scott Graham – Jefferies & Co.: Very good, that’s very helpful. Thank you and, Andy, good luck.
Andrew K. Silvernail: Thank you very much, Scott.
Operator: Your next question comes from the line of Allison Poliniak with Wells Fargo.
Allison Poliniak – Wells Fargo Securities, Llc: Good morning.
Andrew K. Silvernail: Good morning, Allison.
Allison Poliniak – Wells Fargo Securities, Llc: You talked about organic growth next year and I guess a little bit following on just what Scott was talking about on the cost side. If that doesn’t happen, can you talk about contingency on the cost side that you’re currently thinking about?
Andrew K. Silvernail: Yeah, no problem. As we talked about, we’ve already taken some actions and it’s been related to the businesses that we believe we’ll continue to have slower growth. At the same time, we have a pretty disciplined process here. And we understand what the playbook looks like in frankly multiple faces depending upon what the end markets do. So, Allison, without getting really specific, we feel very, very comfortable that if we see decelerating growth rates or a global recession, we have the ability to execute very, very quickly with substantial cost reductions.
Allison Poliniak – Wells Fargo Securities, Llc: Okay, great. And then just back on the HST and the funding issue, has there been any talk about (inaudible) I guess the quantity of some of the cost reductions that could happen next year and how are you guys thinking about that for 2012?
Andrew K. Silvernail: You know it’s really too early to tell. You guys watch CNN and CNBC as much as we do. And frankly you’ve got the politicians kind of arguing at each other and I think that’s what’s called the hesitancy, it was called the hesitancy, but there is really no specific insights or no specific plans that are in process already be executed.
Allison Poliniak – Wells Fargo Securities, Llc: Okay, great. Thank you.
Andrew K. Silvernail: You’re welcome. Thank you.
Operator: Your next question comes from the line of Charlie Brady with BMO Capital.
Charles Brady – BMO Capital: Hey, thanks. Good morning, guys.
Andrew K. Silvernail: Good morning, Charlie.
Charles Brady – BMO Capital: On the Fire & Safety/Diversified business, can you just kind of break out a little more granularity between the Fire business and the non-fire businesses with the growth and order outlook – is for those businesses?
Andrew K. Silvernail: Well, I think the way to think about that and I can – you know Heath kind of – dig into more specifics but – we can tend you to see Band-It and the rescue business, the rescue tools business, just not really execute fantastically. And it’s too similar stories; one is at rescue, it’s based on a great job, absolutely terrific job of innovation and international expansion. You know that business is 70 plus percent international and the team there has just on a stellar job executing. On the Band-It side, what they’ve really done is a terrific job globally of looking at new vertical markets, where they have just – tremendous advantages over the existing fastening technology. And so year-over-year, they – continue to just to drive great growth. And we’ve already talked about what’s happening in fire. So, I think – they’ve done a terrific job and we expect them to continue to.
Heath A. Mitts: What – just to jump in your time, we are – the third quarter results were reflective of what we’ve seen here to-date in the segment, which is a fire piece that is stable, right so for the third of the segment, which is the pumps that gone – the fire trucks has been stable. It hasn’t shrunk this year; it’s really been a low single digit organic grower. And if you’d – so you can do the math if we’re growing at the segment level there at the mid to this quarter 6% organic revenue growth, you’ve got two thirds of the business that’s growing in the low double digits and that would obviously be rescue and Band-It which are having great years.
Charles Brady – BMO Capital: When you talk about the new verticals, if they’re trying to get into where they’ve got an advantage on other fastening technologies, can you give us some examples of that?
Andrew K. Silvernail: Yeah, you bet. You know, one example which is just terrific is looking at power plants where some of the current fastening technologies are really based on welding, which is expensive, dangerous and it doesn’t have a long life, and with those type of applications, you are looking at, frankly a kind of ten to one value proposition where we can still solve the customers’ problem and have very attractive margin. So that’s one example, and frankly there are dozens more like that.
Charles Brady – BMO Capital: Okay. And just one on the corporate expense line, looking into Q4, and I guess a little bit in ’12, should we expect that to kind of drop down into what the level we saw in kind of first half or may be slightly above first half?
Andrew K. Silvernail: Some of the first half numbers are in corporate expense were little inflated Charlie, just because we had acquisition related costs in those, right. I think if you were to normalize, and this quarter is probably a little artificially low, because we had some of the CEO transition expense benefit in there. So I think if you normalize it for somewhere around $11 million to $12 million a quarter, that’s probably a good modeling number from a corporate expense perspective.
Charles Brady – BMO Capital: Okay. Thanks.
Operator: Your next question comes from the line of Wendy Caplan with SunTrust.
Wendy Caplan – SunTrust Robinson Humphrey: Hi, good morning. First, I just want to say best of luck, and though you don’t need it, to Andy and certainly to you Larry. Can we – sometimes during the time of slowing, we see the folks that have good market share positions going after market share from lesser competitors, are there initiatives that you can talk about in that arena, and how you see it, Andy on a strategic basis?
Andrew K. Silvernail: You bet. Well first, good morning, Wendy. From a market share perspective, we are always going after share in every one of our markets. That's part of our DNA and if you look at our ComEx toolbox and what is built around, it's really built around expanding share and accelerating profitable incremental growth. So you can go through any one of our platforms, any one of our individual businesses and the answer to that question is absolutely yes. There are more opportunities internationally and the great part, Wendy, is we really have a terrific infrastructure that we built in to compete globally and locally. So we feel very confident in our ability to consistently take share across the portfolio.
Wendy Caplan – SunTrust Robinson Humphrey: Okay, thank you. And one more on HST, this is typically we think of doing business in a consolidating industry is a little tricky and that's what your life science end market appears to be going through. Can you talk about what that implies for you in terms of your customer base in that space consolidating?
Andrew K. Silvernail: Sure, sure. Well, first and foremost I think it's important to note that as you look at this portfolio if you look at HST, it's a very different portfolio than it was a year ago. It is what a lot of people think of as HST is now kind of about third to 40%, 45% of the current portfolio. So, overall customer concentration is actually going down pretty considerably. So that's the first comment. The second comment is, we – these are very, very long life cycle products and technologies that we play in and in many cases they are regulated. So they are attractive, very dependable markets and we work hard to be early in the product development cycle in driving overall value to the customer and continuing to play with them through the life cycle. So we’ve been successful in taking share by driving platform content and maintaining to continue to grow share with some of the similar strategy. So we think we’re very well positioned, we’ve grown platform content even in those places that have some consolidation. And we think we bring an awful lot of value, so frankly, we think we’re well positioned.
Wendy Caplan – SunTrust Robinson Humphrey: Thanks very much, Andy.
Andrew K. Silvernail: Thank you.
Operator: Your next question comes from the line of Matt Summerville with KeyBanc.
Matt Summerville – KeyBanc Capital Markets: Good morning, just a couple of questions. One, in terms of pricing, I guess where do you guys think IDEX comes out overall in terms of pricing 2011 versus 2010 for the full year and then how are you thinking about prices, you build out your plans for 2012?
Heath A. Mitts: Matt, this is Heath, we’re consistent with where we were year-to-date. Third quarter performance was between a point and point and a half of positive price. So as we build the plans for next year, it’s a little early, we haven’t gone through all the operating plans, but it certainly is going to in a, let’s say a more sane moderated inflationary environment, we would anticipate getting some level of price, a positive price.
Matt Summerville – KeyBanc Capital Markets: Okay. And then, just a follow-up again on health, within the food business you kind of talked about what organic orders look like in total for the segment, and then if you kind of backout water. I’m curious as to how health would look, if you kind of did the same exercise, but backed out kind of that strength you saw in pharma. I guess, I'm trying to get a sense, is the incoming order rate in that instrumentation/life sciences piece, has that turned negative are you seeing cancellations and deferrals up to this point, I’m just trying to dig a little deeper there?
Andrew K. Silvernail: What we’re very bullish about this segment is a smaller piece of the segment relative to water as is to FMT. And we haven’t quantified that, but we are just to be absolutely clear, we are not seeing negative order growth in the rest of HST, whether it’s in the optics space, the more the fluidic space around HST or in even some of the industrial spots. So it would not be as meaningful of a number, but it’s not going to be something that we’re going to provide.
Matt Summerville – KeyBanc Capital Markets: And then as we think about Q4 in kind of the organic growth rate you talked about a 4% to 5%, I guess could you give a little bit of color just given, and there are several moving pieces here, I mean Dispensing orders were up 23, Fire up 13, the others up 6, I guess how you think about the businesses coming in either at, below or above that 4% to 5%, can you provide a little bit of framework there?
Andrew K. Silvernail: Matt, just to be clear, are you talking about optics coming at the CVI business?
Matt Summerville – KeyBanc Capital Markets: No, I’m looking at your total organic growth in Q4, you are saying up, I believe 4% to 5%. If I look at the four segments, and I take into account kind of the moving parts from an overall order standpoint, you have two of the businesses up double-digits, two of the businesses up mid-single, you have some maybe longer term orders going to help, that are going to shift in 2012. I’m trying to get a feel for, if we bracket around that 4% to 5%, where you think the four businesses come in, in Q4?
Andrew K. Silvernail: I see, what you are saying. I think you’ll see mid single-digits out of Health & Science, out of Fire & Safety and Dispensing, and I think you’ll see a better than that, a high single-digit number out of FMT.
Matt Summerville – KeyBanc Capital Markets: Great. Thanks a lot.
Operator: Your next question comes from the line of Walt Liptak for the Barrington Research.
Walter Liptak – Barrington Research Associates, Inc.: Hi, thanks good morning guys.
Andrew K. Silvernail: Good morning, Walt.
Walter Liptak – Barrington Research Associates, Inc.: Just a follow on Matt’s question, I’m not sure, I heard dispensing with the orders rebounding, what's behind that and what kind of growth rate are you expecting for the fourth quarter?
Andrew K. Silvernail: Walt, if you look at the dispensing number, it was a pretty easy comp year-over-year, the third quarter of last year was in the low $20 million and if you look at that kind of how it balanced throughout the year that was lower. Now, that being said the third quarter because of the seasonality in Europe tends to be a little bit softer for us in dispensing. What I can say about dispensing generally is we feel pretty comfortable that business has leveled out and we have gone out aggressively gone after costs and as we look at it today it’s on an annual basis, it's got relatively attractive and stable margins and very, very good cash generation. So I think what you will see in the fourth quarter is something kind of consistent with our history.
Walter Liptak – Barrington Research Associates, Inc.: In terms of the profit margin?
Andrew K. Silvernail: Profit margin in overall kind of organic growth rates that normalizes.
Walter Liptak – Barrington Research Associates, Inc.: Okay.
Heath A. Mitts: Walt, as you recall the first half is always much bigger in dispensing than in the second half.
Walter Liptak – Barrington Research Associates, Inc.: Right, but there is that seasonality.
Heath A. Mitts: And you see that that this is a business that volume has a huge impact in terms of the way it levers up and levers down, so in terms of where we finish the year and the full-year operating margin rate for the segment we’ll still be in the mid to high teens in terms of profitability in the fourth quarter versus the third quarter, it's going to be up some, but some of that's more tied to the restructuring actions that we are doing more so than we are anticipating some big bump in volume.
Walter Liptak – Barrington Research Associates, Inc.:
Andrew K. Silvernail: No, we’ll come back out. We’re not in – we’re not finished, right, with our restructuring activities. We will continue through the fourth quarter, and when we come back out with our 2012 guidance, we’ll add some color around.
Walter Liptak – Barrington Research Associates, Inc.: Okay. So in the fourth quarter, there will be a similar charge, the $2.9 million?
Andrew K. Silvernail: I wouldn’t – I’m not going to try to quantify what the charges in the fourth quarter will be.
Walter Liptak – Barrington Research Associates, Inc.: Okay, and then a last one. The interest expense was a little bit lower than what I was looking for and I wondered is this the run rate that we – I can’t remember if this is the run rate or is there refis that’s going to happen on some of the debt?
Andrew K. Silvernail: We’re still planning to go out here in the fourth quarter with a public bond, the 10-year note that we talked about in the last earnings call.
Walter Liptak – Barrington Research Associates, Inc.: Right.
Andrew K. Silvernail: Timing is a little [TBD], almost week-to-week as we keep an eye on the bond markets, making sure we go in at the most attractive point for where IDEX resides. So we would anticipate some higher – some moderately higher interest expense in the fourth quarter.
Walter Liptak – Barrington Research Associates, Inc.: Okay. Okay, great. Thank you.
Operator: And you have a question from the line of Jim Lucas with Janney Capital Markets.
Jim Lucas – Janney Montgomery Scott: Thanks. I want to come back on one clarification, Andy. When you were talking about the – my first question, the 2012 drivers on the softening side, you said there were three. You highlighted Europe, the NIH funding. What is the third driver?
Andrew K. Silvernail: I think the third that’s the overall international growth has ticked down a little bit too. If you look at the emerging markets, they were exceptionally robust as we saw in the first half of the year. And don’t get me wrong, they’re still very, very attractive, but certainly they have decelerated a little bit.
Jim Lucas – Janney Montgomery Scott: Okay. Thanks for that clarification. Then, big picture, on the early prepared remarks you talked about the three year strat plan being completed. As that is completed, could you give us some additional color of what came out of that three year strat plan, any major changes?
Andrew K. Silvernail: I wouldn’t call them major changes, Jim. I think that the most important thing that came out of the three-year strat plan is the laser-like focus on the six strategic platforms within FMT and HST, and those have been in placed for a long time, they’ve been build out for a number of years. But really, focusing and executing on those platforms both organically and inorganically, a very strong focus on the emerging markets, a very strong focus on filling in technology and channel gaps and really kind of executing the business model around that, that is absolutely the most important thing that came out of strat plan.
Jim Lucas – Janney Montgomery Scott: Okay, all right. Thank you very much.
Operator: There are no further questions at this time.
Andrew K. Silvernail: Well, I want to thank you all very much for your time this morning. We’re excited about the end of our third quarter, and our execution of the year-to-date results, and we anticipate continued success throughout the year. And thanks again for your continued interest in IDEX.
Operator: This concludes today's conference call, you may now disconnect.